Operator: Welcome to U.S. Auto Parts Second Quarter 2012 Earnings Conference Call. On the call today from the company are: Shane Evangelist, Chief Executive Officer; and David Robson, Chief Financial Officer.
 By now, everyone should have access to the second quarter 2012 earnings release, which went out today at approximately 4 p.m. Eastern Time. If you have not received your release, it is available on the Investor Relations portion of the U.S. Auto Parts' website at usautoparts.net by clicking on the U.S. Auto Parts Investor Relations tab. This call is being webcast and a replay will be available on the company's website through August 21, 2012.
 Before we begin, we would like to remind everyone that the prepared remarks contain certain forward-looking statements and management may make additional forward-looking statements in response to your questions. These statements do not guarantee future performance and speak only as of the date hereof. We refer all of you to the risk factors contained in U.S. Auto Parts annual report on Form 10-K and quarterly reports on Form 10-Q, filed with the Securities and Exchange Commission for a more detailed discussion on the factors that can cause actual results to differ materially from those projected in any forward-looking statements. U.S. Auto Parts assumes no obligation to revise any forward-looking projections that may be made in today's release or call.
 Please note that on today's call, in addition to discussing the GAAP financial results and the outlook for the company, the following non-GAAP financial measures will be discussed: EBITDA and adjusted EBITDA. An explanation of U.S. Auto Parts' use of these non-GAAP financial measures in this call and the reconciliation between GAAP and non-GAAP measures required by SEC Regulation G is included in U.S. Auto Parts press release today which, again, can be found on the Investor Relations section of the company's website. The non-GAAP information is not a substitute for any performance measured derived in accordance with the non-GAAP and the use of such non-GAAP measures have limitations which are detailed in the company's press release.
 With that, I would like to now turn the call over to Shane Evangelist. Please go ahead, sir. 
Shane Evangelist: Thank you, Britney. Before David provides the detailed numbers for the quarter, I would like to reflect on the current state of the business, the steps we're taking to adjust to changing market dynamics and our plans to increase profitability. We continue to grind our way through a great many changes in our industry and challenges affecting our business. We are not happy with where we are today, but we are pleased with where we see the company headed. 
 Historically, we won by creating tremendous reach through search engine strategies that created low-cost customer acquisition. We also won by continually improving conversion through the growth of our private label business and aggressive [indiscernible] expansion, providing enormous value for customers. We have built one of the largest online auto parts businesses with over $300 million in revenue and over $50 million in parts inventories. And up until 12 months ago, our traditional business had experienced growth in both visitors and conversion producing overall year-over-year growth above 20%. As a result since 2008, our adjusted EBITDA increased from around $5 million to $20 million. 
 Today, the markets in which we compete are marked by massive changes impacting our visitor traffic and by new entrants to the DIY market, online market who are content to sell product at or near cost across online marketplaces. We too sell in the online marketplace and do well, but we will not run a race to the bottom on them. 
 Our strategy to win in this space of our market development to focus on: one, consolidating our online customer acquisition efforts around fewer sites where we do a better job of servicing our customers; and two, selling more of the parts where we can earn an appropriate profit. It has not been unusual for us from time to time to experience decreases in traffic from search engines, but what has changed in the last 12 months is that our responses to these traffic decreases have not offset the negative traffic trends. This has made us rethink our approach to search and the business in general. Long term, we believe having a few well-known brands is the best approach to continued visitor growth. As a result, we will be reducing our network of websites. The websites will be consolidated over the next 24 months with about 3% of the revenue being consolidated in the first 12 months and other 10% of revenues being consolidated to the following 12 months. 
 While we anticipate reductions in visitors and revenues from this consolidation, we will be using industry best practices with hopes to retain as many of the visitors and as much of the revenue as possible. We also anticipate visitor growth returning to the historic double-digit growth rates once consolidation is completed. 
 As relates to growth in conversion, we have been impacted by increased competition as new technology has aided traditional do-it-for-me supply chain operators to sell online. In the fourth quarter of last year, we addressed these increases in competition with price reductions and initially experienced an increase in conversion and sales. Unfortunately, the sales was driven by conversion had fallen back to preprice production levels resulting in reduced sales on compressed margins, clearly a strategy that work -- that does not work long term and as such, we are redoubling our efforts to grow our private label offerings, where we realized significantly higher margins while offering the lowest price in the marketplace. 
 In addition, we'll be focusing on selling more profitable brands. As a result, we anticipate foregoing some top line revenue in favor of margin expanding 100 to 200 basis points in coming quarters. We believe this margin expansion should offset the EBITDA loss from reduced sales. While we are not excited about negative year-over-year trends in revenue, we are committed to focus on growing EBITDA and cash flow. We believe focusing in higher-margin transaction than having a maniacal attention on return on marketing spend across the smaller number of sites is the right long-term emphasis for the company. 
 Turning to the WAG business. We followed up last quarter with another quarter of positive EBITDA and flow-through increasing from 5% last quarter to 8% this quarter. We continued to run negative revenue comps year-over-year, but that is primarily driven by reduced marketing spend year-over-year. As we get past to reduced marketing spend year-over-year, we look forward to revenue growth and anticipate incremental revenue on the WAG business to flow through above 15%. 
 Moving to AutoMD. We continue to see positive unique visitor trend that comes up over 50% year-over-year to over 900,000 monthly unique visitors. We're excited about the progress we are making to establish ourselves as a consumer advocate for auto repair and maintenance and our goal is to ensure that customers do not overpay for auto repair, and we believe AutoMD will be the property consumers visit and trust to achieve that goal. 
 To that point, we will be market testing an upgraded version of the AutoMD Negotiator, which, essentially automates the process we previously delivered by calling shop and requesting quotes on behalf of customers. We are currently in a handful of markets registering shops and anticipate market test will happen sometime later this year. We will formally announce the test once the product is launched and update you with any plans on increased marketing spend to support those tests. 
 While we do not provide full year guidance, consistent with our previous calls, we will provide a view into the current quarter. We're currently trending down 8% quarter-to-date, much of the decrease is a result of reduced low margins -- is the reduction in low-margin transactions and adjusting marketing trends and pricing accordingly, as well as the result of some of the negative trends we're seeing in traffic. 
 On a positive note, we anticipate margin expansion over the next 2 quarters by 100 to 200 basis points from our current run rate and have a goal to have margins above 200% long term. 
 In closing, the leadership team fully recognizes the many challenges we face. We are embracing them and attacking them head on. Fortunately, our revenue base is large enough to endure some short-term contractions as we position the business for long-term profitable growth. We're also fortunate to have built a great business over the years, with one of the most efficient supply chains in the online space and a greater customer reach by 3x than that of our competitors in the space. We are fully committed to leveraging our strength and adapting to the necessary -- by adapting to the changes necessary in order to reach a profitable growth. 
 I'll now turn the call over to David to further talk about the quarter. 
David Robson: Thanks, Shane. Good afternoon to everybody, on the call. Unless otherwise stated, this quarter refers to consolidated Q2 2012 and last year refers to Q2 2011 and comparisons are Q2 2012 compared with Q2 2011. Also percentage and basis points discussed are calculated using net sales. However, for advertising, I will discuss comparing to net -- Internet sales. Adjusted EBITDA for this quarter was $3.7 million compared to adjusted EBITDA of $4.6 million last year. Adjusted EBITDA excludes noncash share-based compensation expense of $374,000 this quarter and $643,000 last year. This quarter's net sales were $80.7 million compared to $84.3 million last year, a decrease of 4.2%. Our traditional business was positive during the quarter offset by decline in our comps at J.C. Whitney. The J.C. Whitney comps that Shane mentioned were impacted by a pullback of our catalog spend compared with last year. But overall, EBITDA positive on the lower sales volume. 
 Total online sales decreased 6.1% this quarter, principally driven by a 6% decline in traffic, a 7% decline in average order value, and partially offset by a 1% improvement in both conversion and revenue capture. 
 Turning to margins. This quarter's gross margins was 30.2%, down from last year's 33.7%. Gross margin was unfavorably impacted by increased competition in the marketplace and higher freight expenses offset by a favorable growth in our private label business, which returns higher-margin rates. Gross margin was essentially flat with the first quarter, where we turned in a rate of 30.5%. 
 Online advertising expense, which includes catalog cost, was 7% of net online sales this quarter compared with 9.6% last year. The decline in online advertising expense was due to a reduction in print catalogs of $1.3 million, as well as improved leverage of our marketing spend on lower sales volume. This quarter's marketing expense, excluding online advertising expense, was 9.6% of net sales compared to last year of 8.0%, up 160 basis points, primarily due to higher amortization of cost related to software deployment. 
 General and administrative expense was 5.8% of net sales this quarter down from 10% last year. The decrease was primarily due to restructuring costs that occurred last year of $1.5 million, a reduction of $700,000 in depreciation expense resulting from certain assets this year being fully depreciated and lower payroll expenses and share-based compensation. 
 Fulfillment [ph] expense was 7.0% of net sales this quarter, up from 5.4% last year. The increase was primarily due to higher depreciation and amortization expenses from software deployment. Technology expense was 2.1% of net sales, down from 2.3% last year. The decrease was primarily due to lower consulting and computer support expenses. Visitors on our site for the quarter were 39.2 million down 6% over last year. Orders placed through our e-commerce channel this year were 635,000 with an average order value of $116, down from last year of $125, but flat against Q1 of this year. The conversion rate was 1.62%, slightly up from last year of 1.60%. Revenue capture was 84.4%, up from last year of 83.6% and up from Q1 2012 of 83.7%. 
 This quarter's customer acquisition cost was $7.10, down from $10.11 last year, primarily due to reduction in online advertising spend. 
 Now turning to the balance sheet. Quarter end cash and securities were $1.5 million and debt was $13.1 million. Cash and securities decreased by $9.5 million over the previous quarter, primarily due to the net paydown of debt of $5 million, capital expenditures of $3 million, an increase in inventory of $3 million and approximately $2.8 million of onetime reduction in working capital, of which we expect to recoup approximately $1 million by the year end. 
 The balance of the reduction in cash was offset by adjusted EBITDA of $3.7 million. As a reminder, on April 26, 2012, we entered into a $40 million credit facility with JPMorgan Chase, replacing a credit facility we had with Silicon Valley Bank. Under this new credit agreement, we intend to sweep excess cash to pay down our loan facility and take advantage of lower interest expense, which we were unable to do with our previous loan agreement. As such, we expect to maintain minimal cash on our balance sheet going forward. At the end of the quarter, our borrowings under this facility were $12.9 million. 
 And with that, I'd like to turn the call over to questions. 
Operator: [Operator Instructions] Our first question comes from the line of Shawn Milne with Janney Capital Markets. 
Shawn Milne: I got a couple, maybe more. So a couple, to start housekeeping and then maybe Shane a couple strategically. But did you say in the first quarter that your online sales were down 6%? Did you also say that your core was up, but it was just J.C. Whitney that was down? 
David Robson: Right. Our traditional business was slightly up and the Whitney business was down. 
Shawn Milne: And when you're saying traditional, just the online? 
David Robson: No, no, the traditional business, excluding everything that we did with respect to the Whitney acquisition. 
Shawn Milne: Okay. And then what was your margin commentary and goal, Shane? 
Shane Evangelist: Yes, I think we're going to -- look to be closer to 32% versus the 30% running at now. 
Shawn Milne: And what's the big driver there? 
Shane Evangelist: We've got a lot of low-margin transactions that aren't delivering incremental profit the way we need them to. And when we took some price action in the fourth quarter, we did see a lift and sort of incremental dollars was driving some incremental profit. As that has subsided and we go in there and examine the returns we're were getting on each sale, we've come to the conclusion that some of these sales that we're doing are simply not profitable enough to keep doing. So on those particular products, that's where we're adjusting pricing and adjusting marketing spend accordingly. 
Shawn Milne: Okay, because, I guess, strategically there's always the balance of pushing your average -- I know the world doesn't work on an average, but your average unit economics would suggest to spend more but you're saying that as you've gotten in deeper, there's a certain level of SKU profitability, which is not -- you just need to cut that out? 
Shane Evangelist: Yes, I think you said it right there. On average, it looks okay, but when you get down an individual SKU -- look at the profitability of individual SKU, we just determine that some of that pricing that we had taken -- the action we've taken wasn't in our long-term interest. 
Shawn Milne: Okay, and then just a 2 quick last ones. You mentioned you're going to try to balance margin more than growth, but obviously we're looking at fairly easy WAG cost in the second half. Do you think the overall business can get to a growth profile? I realize you're running still negative now. 
Shane Evangelist: Yes, I mean we don't comment too much on forward-looking other than to say we're currently trending down 8% -- and 8%, and certainly WAG is helpful on the back half of the year. We also did post some pretty good e-com comps in the back half of the year, so those 2 may sort of negate each other. 
Shawn Milne: Okay. And then lastly, are there any-- what are the sort of covenants on the debt facility that we should be mindful of going forward? 
David Robson: The debt facility is covenant free subject to availability requirements. So if we don't borrow every last dollar, there's a covenant at any availability below $6 million to the fixed coverage charge of 1, otherwise there's no covenant. 
Shawn Milne: There's no EBITDA threshold you have to hit or anything like that? 
David Robson: No, there's not. Part of the reason we restructured is it made our covenants a lot more flexible under this agreement. 
Operator: Our next question comes from the line of Jean Munster with Piper Jaffray. 
C. Eugene Munster: I guess, I was going to have some follow-up questions. And just on the private label side, can talk a little bit about the potential behind that? And also in terms of kind of the more -- focus on more profitable SKUs. I know that's been kind of the trend in general over the past couple of years. Is there something that you're going to do a little bit different this time and how is this going to impact just the overall number of SKUs? Do you plan on kind of reducing that for the private label and then kind of moving to higher profitable SKUs? 
Shane Evangelist: Yes, thanks, Jean. I think there are -- in some sense one and the same in that we've done a decent job over the last 3 years growing more private label. We're at 40% private label, 60% branded mix today. And a couple of years ago, you would have seen that 25% and then 30% and now closer to 40%. And so then the second question is -- and by the way we think there's potential upside for that to continue to grow. We will continue to grow that business. It hasn't grown quite as fast as we've liked most recently. We made some changes as to how we're determining the right private labeled product to go after. We're starting to see some benefits from that, and we think we'll see private label continue to grow specifically inside the engine category. As it relates to more profitable SKUs, I mean, I think this is really more about making a conscious decision not to sell below a certain profitable level. And so while I don't think we'll be changing the SKU mix, we certainly will be changing the acceptable margin associated with the sale of that SKU. 
C. Eugene Munster: Okay. And then I guess, at what point as we just think about the model next year is this something that can have a positive impact? I know you don't want to give a longer-term guidance, but first half of the year or the second half of the year, or it's just a little bit too difficult to tell right now? 
Shane Evangelist: I think we'll start to see the impact of the gross margin expansion this quarter and next. And hopefully it grows certainly in the first quarter our largest quarter for margins, it should be even better. But I don't think this is something we have to wait 12 months for. We've taken some pretty definitive action associated with that, and we're conscious that we're going to lose some revenue and we're okay with that. 
Operator: [Operator Instructions] Our next question comes from the line of Mitch Bartlett with Craig-Hallum Capital Group. 
George Kelly: This is George on for Mitch. Just a couple questions. To start with the strategy around some core sort of brands. Wondering how are those core websites doing in the most recent quarter? What can you talk at all about growth in those core sites? 
Shane Evangelist: Yes, so our core sites center around J.C. Whitney. We talked a little bit about that where we're seeing good profitable growth inside J.C. Whitney for both J.C. Whitney and Stylin. We're not seeing growth there, but we're seeing great EBITDA pickup. And I think as we've discussed, that's a function of marketing spend right now and hopefully we start to see that business grow as we comp over that. And that's really started to get for the first quarter before we start to see, I think, that comps go away from a marketing perspective. APW continues to be strong. And so we like that about APW. Those are the 2 core sites we have today. 
George Kelly: And do you expect to just maintain those? Are those the 2 sites that you're really going to put most of the focus behind? Or do you think -- will there be another one potentially or? 
Shane Evangelist: Yes, there'll probably be a handful of sites here's what I would say, StylinTrucks is a real great truck site. J.C. Whitney is a great accessory site. We've got APW that does a great job in the engine category. We have a site called Parts Train that's been optimized around body. And then we get a another great brand name in CarParts that has got great potential marketing exposure to it. So I think you'll see us kind of sit around those sites. I mean, the reality is managing the website today versus managing the website 5 years ago is much different. It's much more complex. And then the necessity to make sure that those sites have a mobile component and integration with mobile really dictates that you're spending a lot of time and focus and energy around those components and so we think that's the right strategy going forward. 
George Kelly: Okay. Is there are lot of CapEx associated with this? 
Shane Evangelist: The consolidation? 
George Kelly: Yes, just building out the brands. 
Shane Evangelist: Yes -- no, limited CapEx and the movement of that content. 
George Kelly: Okay, and then lastly. Who -- you talked about in competition about new entrants recently. Can you talk a little more just about the competitive dynamics. Wondering sort of if eBay and WHI is having a big impact or who the new entrants are? 
Shane Evangelist: Yes, I know I think it's on the same footprint that you've talked about, which is the traditional do-it-for-me business who was only able to sell to a shop or installer because they didn't have a physical retail footprint, was kind of locked out of that market. The DIY market that is. And with this technology, to be a WHI and some other folks out there, they've allowed that inventory now to be exposed to the DIY customer through marketplaces, and that's essentially where the pressure has been coming from a price point perspective. 
Operator: Our next question is a follow-up question from the line of Shawn Milne with Janney Capital Markets. 
Shawn Milne: Shane, one of your competitors has been out there doing some more cable spot buying. And I wonder if you seem now to fundamentally becoming full circle around from search. What do you think strategically from a marketing perspective? Because, again, you're kind of starting off with -- your average order sizes are still fairly healthy. Is TV, radio, what are you doing in social? What other areas to see potentially offset some of the search issues? 
Shane Evangelist: Yes, I think sort of building these brands J.C. Whitney, obviously, comes to mind, as well as APW as certainly something we'll do long term. I think we'll go through the consolidation effort here, and we'll look at different ways to market on a go-forward basis. And as it relates to building those brands, I think, this much about delivering on the website experience and the future functions of that website, the social aspects of that. And I think we're going to spend a lot of time doing that. 
Operator: [Operator Instructions] I'm showing no further questions in the queue. I'd like to turn the call back to management for any closing remarks. 
Shane Evangelist: Thank you, Britney, and thanks, everyone, for joining the call. We look forward to update you on our progress next quarter. 
Operator: Thank you. Ladies and gentlemen, that does conclude our conference for today. We thank you for your participation. You may now disconnect.